Operator: Good morning ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to the Banco Macro’s 1Q 2015 Earnings Conference Call. We would like to inform you that 1Q 2015 Press Release is available to download at the Investor Relations website of Banco Macro, www.ri-macro.com.ar. Also this event is being recorded and all participants will be in a listen-only mode during the company’s presentation. After the company’s remarks are completed, there will be a question-and-answer session. At that time, further instructions will be given. [Operator Instructions] It is now my pleasure to introduce our speakers. Joining us from Argentina are Mr. Jorge Pablo Brito, Member of the Executive Committee; Mr. Guillermo Goldberg, Commercial Deputy General Manager; and Mr. Jorge Scarinci, Finance and IR Manager; Ines Lanusse, Officer and other members of the Bank’s management team. Now, I would like to turn the conference over to Mrs. Ines Lanusse, IR Officer. You may begin your conference.
Ines Lanusse: Good morning, and welcome to Banco Macro’s first quarter 2015 conference call. Any comment we may make today may include forward-looking statements which are subject to various conditions and these are outlined in our 20-F which was filed to the SEC and is available at our website. First quarter 2015 Press Release was distributed yesterday and it is also available at our website. Banco Macro is one of the leading private banks in Argentina with a strong presence in the interior of the country and a branch network of 434 branches. Even though we are a universal bank, we focus on the low to middle income individuals and SMEs. Banco Macro is a financial agent of four provinces in Argentina: Salta, Jujuy, Misiones, and Tucuman. I will now briefly comment on the Bank’s first quarter 2015 financial results. Banco Macro’s net income for the quarter was Ps.1.1 billion or 6% lower than the Ps.1.2 billion earned one year ago. [Indiscernible] excluded, net income would have been Ps. 1.0 billion in first quarter 2015 and Ps. 507.4 million in first quarter 2014. The bank’s accumulated first quarter 2015 ROE and ROA of 36.6% and 5.9% respectively remains healthy and shows the bank’s earnings potential. In the quarter net financial income totaled Ps.2.7 billion or 9% higher than the Ps.1.8 billion registered one year ago. This performance can be traced to a 17% year-on-year increase in financial income and 29% year-on-year increase in financial expenses. Within the financial income, interest on loans rose 24% year-on-year due to a 131 basis point increase in the average private sector lending interest rate, and to a 16% growth in the average private loan portfolio. The first quarter 2015 interest on loans represented 73% of total financial income. On the other hand, net income from government and private securities increased 308% year-on-year, due to increase in the market price of the bank's equity portfolio which the bank had invested in the previous quarter. Meanwhile, within financial expenses interest on deposits grew 24% year-on-year due to a 15% increase in the average volume of interest bearing deposits and to a 150 basis point increase in the average time deposit interest rates. Excluding FX gains, the former combined effect resulted in an increase of the bank’s net interest margin from 15.7% as of the first quarter 2014 to 20.8% as of the first quarter of 2015. And we also included income from government and private securities and warranty loans including adjustment on the calculation, the bank’s net interest margin would have been 15.9% from last year’s level of 15%. The bank’s net fee income grew 28% year-on-year based on fee charged from the deposit accounts and debit and credit card fees. Administrative expenses rose 30% year-on-year, mainly due to an increase in personnel expenses, primarily higher salaries, and higher other operating expenses. The accumulated efficiency ratio reached 43.3% in the first quarter of 2015. In the first quarter of 2015, bank's Banco Macro’s effective income tax rate was 37.6% compared to 36.9% registered in the first quarter of 2014. In terms of loan growth, the bank’s financing to the private sector grew 9% quarter-over-quarter on a yearly basis, the bank's financing to the private sector increased 20% year-on-year – commercial loans for the products investment have been included. Personal loans of credit card also grew year-over-year. On the funding side, total deposits grew 7% quarter-on-quarter and 24% year-over-year. Private sector deposits grew 8% on a quarterly basis, while public sector deposit grew 2%. As of March 2015, Banco Macro’s transactional accounts represented approximately 46% of total deposits and therefore the bank’s consolidated average cost of fund was 9.9%. In terms of asset quality, Banco Macro’s non-performing to total financing ratio reached 1.92% from last year's level of 1.88%. The coverage ratio reached 131.97%. In terms of capitalization Banco Macro accounted an excess of capital of Ps.6.2 billion, which represented a capitalization ratio of 23.6%. The bank’s aim is to make the best use of this excess capital. The bank’s liquidity remains appropriate. Liquid assets to total deposit ratio reached 39.5%. Banco Marco accounted for another profit quarter. We continued showing a solid financial position. Asset quality is under control and closely monitored. We continue working to improve more our efficiency standards. We have one of the cleanest balance sheets in Argentina’s banking sector and we keep a well optimized deposit base. So at this time we would like to take the questions you may have.
Operator: [Operator Instructions] there are no questions at this time. Here is the question from {indiscernible] please go ahead.
Unidentified Analyst: Hi, Ines, good morning. I wanted to see what’s your view for future regarding results. Are we going to see such strong results in the future. I have noticed a strong processions that you have on the central bank notes and I was wondering what we could expect from that procession in the future. I know from the trading results.
Unidentified Company Representative: Regarding the procedure on [indiscernible] instruments on central bank notes, that’s one of the instrument that we use of allocating the certain liquidity so we are going to balance that portfolio depending on the long demand coming for the rest of the year without forecasting that we are going to grow our loan book in 2015 within 20%- 25% so depending on that we are going to balance that portfolio. In terms of the trading gains in the first quarter you can see in our press release there was an increase coming from our equity portfolio that was loss in the fourth quarter over the previous year and we are going to keep that equity portfolio for the long run. We are not going to do trading on that portfolio. In terms of – going forward we expect Banco Marco to continue both in good results dealing ROE for 2015 in the mid 30s. We are not expecting big surprise for the moment.
Unidentified Analyst: Okay. Thank you very much.
Unidentified Company Representative: Welcome.
Operator: The next question comes from [indiscernible] of Raymond James. Please go ahead.
Unidentified Analyst: Yes hi, good morning everybody. Please could you comment a little bit about [indiscernible] spread what’s your view going forward from the new relations in place by the end of last year on CDs and in terms of the productive lines, thank you.
Unidentified Company Representative: In the spread release the net margin excluding basically gains on our equity and fixed income portfolio and you can see that there was slight expansion in the year close to 16% in the net interest margin but we are expecting to be – to have a stable margin going forward even though on the CDs, you can see that the short term interest rates on the [indiscernible] going down month after month. So we are forecasting stable margins for the rest of the year.
Unidentified Analyst: Okay. Thank you very much.
Unidentified Company Representative: Welcome.
Operator: [Operator Instructions] There are no further questions at this time. This concludes the question-and-answer session. I will now turn the conference over to Ms. Ines Lanusse for final consideration.
Ines Lanusse: Thank you all for your interest in Banco Macro. We appreciate your time and look forward to speaking you again. Good bye.
Operator: The conference has now concluded. Thank you for attending today's presentation you may now disconnect.